Operator: Greetings. Welcome to Rand Capital Corporation’s First Quarter Fiscal Year 2025 Financial Results Conference Call. At this time, all participants will be in a listen-only mode. [Operator Instructions] Please note, this conference is being recorded. At this time, I’ll now turn the conference over to Craig Mychajluk from Investor Relations. Craig, you may now begin.
Craig Mychajluk: Thank you, and good afternoon, everyone. We appreciate your interest in Rand Capital and for joining us today for our first quarter 2025 financial results conference call. On the line with me are Dan Penberthy, our President and Chief Executive Officer; and Margaret Brechtel, our Executive Vice President and Chief Financial Officer. A copy of the release and slides that accompany our conversation is available at randcapital.com. If you’re following along with the slide deck, please turn to Slide 2, where I’d like to point out some important information. As you are likely aware, we may make forward-looking statements during this presentation. These statements apply to future events that are subject to risks and uncertainties, as well as other factors that could cause actual results to differ from where we are today. You can find a summary of these risks and uncertainties and other factors in the earnings release and other documents filed by the company with the Securities and Exchange Commission. These documents can be found on our website or at sec.gov. During today’s call, we’ll also discuss some non-GAAP financial measures. We believe these will be useful in evaluating our performance, should not consider the presentation of this additional information in isolation, or as a substitute for results in accordance with Generally Accepted Accounting Principles. We have provided reconciliations of non-GAAP measures with comparable-GAAP measures in the tables that accompany today’s earnings release. With that, please turn to Slide 3, and I’ll hand the discussion over to Dan. Dan?
Daniel Penberthy: Thank you, Craig, and good afternoon, everyone. Our first quarter results underscore the resilience of our business model and the strength of our balance sheet, putting us in a solid position to execute on our continued long-term strategy. I am pleased to report that despite a modest decline in total investment income, we have delivered a 45% year-over-year increase in net investment income, reaching $1.2 million or $0.42 per share. It’s important to highlight that this performance was supported by certain non-recurring fee income and a 36% reduction in total expenses driven by lower interest costs following our debt repayment and capital gains incentive fee adjustments. Our net asset value per share was $21.99, which compared with $25.31 at year-end 2024. It is important to note that this change reflects a dilutive impact from the issuance of additional shares related to the fourth quarter dividend, which were distributed in January 2025. During the quarter, we also realized a gain of $925,000 from portfolio redemptions, and we redeployed a portion of those proceeds into a follow-on investment that we will highlight shortly. Staying aligned with our strategy to maintain a strong financial position, we have repaid $600,000 of our revolver debt, finishing the quarter with nearly $5 million in cash, and over $22 million in available credit capacity. As I mentioned last quarter, we continue to operate in a cautious and evolving environment. While we are seeing a slowdown in new investment opportunities due to ongoing macroeconomic and political uncertainty, we remain well positioned to capitalize as conditions approve. Looking ahead, our focus remains on a disciplined execution, proactive portfolio oversight, and building sustainable shareholder value. As highlighted on Slide 4, the success we have had executing on our long-term strategic objectives over the past few years has translated into tangible benefits for our shareholders. A clear example of that is our recent dividend activity. The fourth quarter 2024 dividend, paid in January 2025, included a stock component that resulted in the issuance of approximately 389,000 new shares. Following that distribution, Rand’s total shares outstanding increased to nearly $3.0 million. In the first quarter of 2025, and again with our recently declared Q2 dividend of $0.29 per share, the regular per share amount remained consistent. However, due to the increased share count, which I previously mentioned, the total dollar amount of the dividend distributed to shareholders increased. This reflects not just our continued commitment to delivering stable and attractive returns, but also the strength of our balance sheet, the discipline in our capital deployment, and the resilience of our income generating portfolio. Together, these factors position us to continually create value for shareholders over the long-term. Turning to Slide 5, you will see the current breakdown of our portfolio between debt and equity along with some of the recent shifts that have taken place. As of March 31, 2025, our portfolio stood at a fair value of approximately $62 million spread across 19 businesses. This represents a decline from year-end 2024, primarily driven by the repayment of loans from three portfolio companies. While we have seen encouraging signs of strength from several businesses, we continue to factor in the broader economic and political headwinds that are still affecting some of these portfolio company operations. These challenges are reflected in our valuations, and we remain optimistic about future recovery and performance. A key pillar of our investment strategy has been the deliberate shift towards more income generating portfolio. As we stand today, debt investments represent 72% of our portfolio, up from prior years, and this mix supports greater earning stability and consistency. As of quarter end, the annualized weighted average yield on our debt investments, including PIK interest, payment-in-kind interest, was 12.2%. The average yield was down from prior quarters, because one of our debt investments, which represents 3% of the value of the total portfolio, was on non-accrual status during the first quarter of 2025. The remaining 28% of our portfolio consists of equity positions, either through direct investments, warrants, or equity components alongside our debt structures. Our strategy continues to prioritize structures where subordinated debt component provides a yield-based return, while still capturing potential upside through equity participation. This can be in the form of a warrant or a direct equity investment. This thoughtful portfolio construction supports both current income generation and long-term value creation, which aligns ourselves with our commitment to a disciplined capital deployment and sustainable returns and future dividends. Slide 6 highlights our investment activity during the first quarter. On the investment side, we made a $375,000 follow-on investment in ITA, a Florida-based manufacturer of blinds and shades. This incremental capital supports ITA’s manufacturing operation, and as of quarter end, our total holdings in the company, including both debt and equity, had a fair value of $2.0 million. There were three notable exits this past quarter, each resulting in full repayment of principal and certain non-recurring loan fees, further strengthening our liquidity position. We received full repayment of a $5.6 million debt instrument from Mattison Avenue Holdings. We also exited our investment in Pressure Pro, receiving repayment of $1.7 million in principal. As part of that transaction, we also sold our warrant position, resulting in a realized gain of $870,000. Lastly, we exited our investment in HDI Acquisition, with full repayment of a $1.1 million debt instrument. These exits not only reflect the strength and quality of our underwriting, but also reinforce our ability to recycle capital efficiently, freeing up resources for future income generating opportunities as market conditions improve. Turning to Slide 7, you will see shifts in our industry allocation since the end of 2024. Most notably, our exposure to professional services decreased from 48% to 45%, and manufacturing declined from 13% to 8%, both driven by the exits which we discussed just prior to this. Meanwhile, consumer products grew as a share of the portfolio, reflecting continued strength in some of our existing holdings in that space. Maintaining a thoughtful mix across sectors remains a core part of our investment approach. This not only reduces exposure to any single industry risk, but also positions us to benefit from growth across a broader success of market dynamics. Ultimately, we believe a balanced portfolio structure allows us to adapt to a changing macro conditions, while continuing to pursue strong risk adjusted returns. Slide 8 highlights our top 5 portfolio companies, which together represent 58% of our total portfolio at fair value. Tilson continues to lead as our largest individual of holding, and is valued at $11.5 million and accounting for 19% of the total portfolio. We’ve been invested in Tilson for over a decade, and it does remain a cornerstone of our portfolio. With an original cost basis of approximately $3 million, the position now reflects $8.4 million in unrealized appreciation, an excellent example of the kind of long-term value creation we aim to deliver through our investment strategy. Seybert’s or The Rack Group, and Food Service Supply continue to be consistent performers among our top five, while INEA advanced in ranking this quarter, and Caitec held steady. Overall, we remain confident in their ability to drive long-term growth and income. With that, I’ll now turn it over to Margaret to walk you through our financials in greater detail.
Margaret Brechtel: Thanks, Dan, and good afternoon, everyone. I will start on Slide 10, which provides an overview of our financial summary and operational highlights for the 2025 first quarter. Total investment income for the quarter was $2 million, representing a slight decline of $59,000 or 3% from the prior year period. This decrease was primarily driven by lower dividend income and an 8% reduction in interest income, reflecting the repayment of the three debt instruments during the quarter. Offsetting this was an increase in non-recurring fee income, which comprised 15% of total investment income in the first quarter of 2025, up from 5% in the first quarter of 2024. During the quarter, 18 portfolio companies contributed to investment income compared to 24 companies in the same period last year. On the expense side, total expenses declined 36% to $791,000 from $1.2 million in the prior year period. This reduction was largely due to a $354,000 decrease in interest expense, thanks to lower outstanding debt. We also saw favorable changes in management fees, including a $75,000 capital gains incentive fee benefit this quarter compared with $112,000 expense in Q1 of 2024. In addition, base management fees declined by $50,000 as a result of the principal repayments. These benefits were partially offset by the accrual of $120,000 income-based incentive fee, which reflects our improved operating performance and fund profitability. No such fee was accrued in the first quarter of last year. To clarify, incentive fees include two components, an income-based fee and a capital gains fee. The income-based fee is calculated quarterly and is subject to a 1.75% hurdle rate per quarter or 7% on an annualized basis. The capital gains incentive fee, on the other hand, is accrued based on both realized and unrealized gains and losses in accordance with Generally Accepted Accounting Principles. Excluding the capital gains incentive fee accrual, adjusted expenses, which is a non-GAAP financial measure, were $866,000 in the first quarter, representing a 22% decrease year-over-year. Net investment income increased 45% to $1.2 million, or $0.42 per share, compared with $840,000, or $0.33 per share, in the first quarter of 2024. On an adjusted basis, excluding the capital gains incentive fee benefit or expense, net investment income was $0.40 per share, up 8%, or $0.37 per share, in the prior year period. On Slide 11, you’ll see a waterfall chart that illustrates the change in net asset value for the first quarter. As of March 31, 2025, net assets totaled $65.3 million, representing a slight decrease from year-end 2024. We saw a strong net investment income for the quarter, along with a $925,000 net realized gain from sales and dispositions of portfolio investments. However, these were offset by a $1.3 million net decrease in unrealized depreciation reflecting valuation adjustments in certain holdings. In addition, we declared $863,000 in cash dividends to shareholders during the quarter. As a result, net asset value per share quarter end was $21.99 per share, compared with $25.31 per share at year-end 2024. It is important to reiterate that change in the per share net asset value reflects issuance of approximately 389,000 new shares that were declared in the fourth quarter of 2024 and distributed in January of 2025. As highlighted on Slide 12, we continue to maintain a strong balance sheet in ample liquidity, which positions us well to pursue future investment opportunities. Net assets at quarter end were $67.8 million, down 6% from year-end 2024. We ended the quarter with $4.9 million in cash, a significant increase from $835,000 at year-end. In addition, we fully repaid the remaining $600,000 outstanding on our senior secured revolving credit facility, leaving us with no debt outstanding under the facility as of March 31, 2025. On April 30, we declared a regular quarterly cash dividend of $0.29 per share, payable on or about June 13, 2025, to shareholders of record as of May 30, 2025. Lastly, Rand’s Board of Directors renewed the company’s share repurchase program, authorizing the repurchase of up to $1.5 million in additional Rand Capital common stock. This program is now in effect through April of 2026. With that, I will turn the discussion back to Dan.
Daniel Penberthy: Thanks, Margaret. And moving to Slide 13, please. As we look ahead to the rest of the year and beyond, our focus remains clear on executing with discipline and building on our long-term shareholder value. There are many challenges in our current environment, and this does present and should present new investment opportunities. However, we remain challenged with macroeconomic and political uncertainty. This could include tariffs, consumer spending, changes in government regulation, weaknesses in the M&A markets. However, I do believe we are well-positioned to navigate this cycle. Our investment model combined with our disciplined approach, allows us to maintain a long-term view with the expectation that conditions will improve over time. We are actively looking to scale our income generating assets with high-quality debt investments, while remaining prudent in our capital deployment and risk management. With ample revolving credit availability, we have the flexibility to support future growth as the market evolves. Importantly, our commitment to shareholders remain, we are focused on driving NAV growth and total returns through active portfolio oversight, sound financial management, and a sustainable dividend strategy backed by what we believe to be as a strong portfolio. Thank you for your continued trust and partnership. We look forward to updating you on our progress with our second quarter 2025 results in August. Have a great day.
Q -:
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.